Operator: Good day, ladies and Gentlemen, thank you for standing by. Welcome to the Second Quarter Q2 2014 Harvard Bio's Earnings Conference Call. At this time all participants are in a listen only mode. Later we will conduct a question and answer session. The instructions will follow at that time. (Operator Instructions). I would like to introduce your host for today’s conference Ms. Cheryl Schneider of Dian Griesel International. Ms. Cheryl Schneider?
Cheryl Schneider: Thank you, Victoria, and good morning, everyone. Thank you for joining us for the Harvard Bioscience second quarter 2014 financial results conference call. Leading the call today will be Jeffrey Duchemin, CEO and President; and Robert Gagnon, Chief Financial Officer of Harvard Bioscience. But before I turn the call over to them, I will read Harvard Bioscience's Safe Harbor statements. In its discussion today, the company may make statements that constitute forward-looking statements. The company's actual results and performance may differ materially from what it has projected due to risks and uncertainties, including those detailed in its annual report on Form 10-K for the periods ended December 31, 2013 and its other public filings. Any forward-looking statements, including those related to the company's future results and activities represent its estimates as of today and should not be relied upon as representing its estimates as of any subsequent day. At this point I would like to turn the call over to Jeffrey Duchemin. Jeff, please go ahead.
Jeffrey Duchemin: Thank you, Cheryl. Good morning, everyone and welcome to our Q2 earnings call. I am pleased to report that we had a very good second quarter as revenues increased by more than 3% or 0.07% excluding the impact of currency translation. Backlog and bookings are growing and we are on track to treat the goals that we set out at the beginning of the year. I'm proud of what our team has accomplished in a relatively short amount of time. Our revenues stabilized earlier than we had anticipated. As you might recall, our goal is to stabilize our business and reverse the sales declines by the end of the year. So the fact that it happen during Q2 makes us even more excited about our strategic initiatives that have led us to this point. Our results were fueled by the organizational changes that we instituted at the end of 2013 and the implementation of our global growth strategy. The strategy is in place and working. We have made great progress in creating commercial excellent, geographic expansion and business development opportunities. Importantly, this is the first quarter in seven consecutive quarters where our revenues increased. While Rob will going to details about our financial results, I did want to provide some highlights. Revenues for the quarter increased 3% to 27 million from 26 million in last year's second quarter. And non-GAAP income from continuing operations for the second quarter was comparable to last year's second quarter and $1.9 million or $0.06 per diluted share. However, even more reflective of our strategy, we believe is a sequential quarterly growth in revenues excluding the impact of currency translation this quarter. Without that impact, revenues increased approximately 4% compared with the first quarter of 2014, that in my view is great progress. As many of us have been reading about increased NIH funding, we've been asked if Harvard Bioscience experienced any benefits yet. While we cannot at this time point to any direct results from that funding, this is not to say that we did not benefit from it this quarter. It is just that it is difficult to attribute this directly to any change in our business. What we do know however is that our functionally aligned organization is executing to our plan. We are on track to realize the benefits from our organizational realignment that was implemented during the fourth quarter 2013 which positioned us for growth. For example, as part of the realignment, we completed the consolidation of two facilities in the UK this quarter, which has helped eliminate redundancies and capture operational savings. As we stride towards operational excellence, our new Vice President of Global Operations and Quality has identified, evaluated and instituted areas for improvement that are already helping to drive efficiencies. And we have even more reason to believe our strategy is working. For instance, we reported our fourth consecutive quarter of increases in backlog. The backlog at the end of the quarter increased 58% compared with last year at this time and almost 9% compared with our first quarter while bookings increased 6% over last year’s second quarter and 4% over our first quarter of 2014. Although we are proud of these results, we know there is a lot of work ahead of us as we implement our growth strategy. Some of our best performing product lines this quarter were lab consumables and molecular analysis products. These products accounted for approximately 51% of our revenues. Our China Asia team is fully in place, and we are very pleased with the work they are doing. We are on the ground running and have implemented our commercial strategy. As others in the industry have reported, the China market was a bit sluggish this quarter but we remain optimistic about our new team that is working there in our expectations for the remainder of the year and beyond. Our growth in the U.S. and Europe offsets the softer sales in China. As you might recall, the stabilization of sales in the U.S. and Europe was the critical component of our strategy that we announced at the end of last year. We are excited to report that our commercial teams are executing our plans which resulted in U.S. and European growth in Q2. We have direct field sales teams in the United States, Canada, United Kingdom, Germany, France, Spain and China. Our increases in both backlog and bookings are some of the benefits we are realizing from our new functionally aligned organization and increased performance. We appeared at two different investor conferences this quarter, continued investor outreach and also met with some, and spoke with current and potential shareholders as we continue to increase our visibility in the investment community. We gained further investment community recognition with the initiation of research by Janney Montgomery Scott last month and by Alere just last week. We are also interviewed by TheStreet.com and all of this combined helped us gain visibility in the investment community. As of today, we have realigned our operations, created efficiencies, reallocated resources, and stand here with a much stronger and agile company than we were even six months ago. We’ll look forward to the challenges and the opportunities that lie ahead of us with an eye toward achieving all our objectives. At this point, I will turn the discussion over to Rob Gagnon, our CFO, who will provide more insight into our financials. Rob?
Robert Gagnon: Thank you, Jeff. Consistent with previous quarters, much of my focus will be on the non-GAAP quarterly results, which we believe better represent the ongoing economics of the business, reflects how we set and measure on incentive compensation plans and how we manage the business internally. However, I will briefly review the GAAP results, the differences of which are outlined in the earnings release we issued today, which can be found on our website under Press Releases. Additionally, any material financial or other statistical information presented on the call which is not included in our press release will be archived and available in the Investor Relations section of our website. A replay of this call will also be archived at the same location on our website at www.harvardbioscience.com. Now beginning with the top-line. We’re pleased to report revenues of $27 million for the second quarter, an increase of 3.3% compared with revenues of $26.1 million in Q2 last year and 4.1% compared with revenues of $25.9 million in Q1 of this year. Currency translation resulted in a 2.6% positive impact because of a weaker U.S. dollar compared to the British pound sterling and the Euro on a year-over-year basis. Excluding currency translation revenues increased 0.7% compared to Q2 last year and 3.7% compared to Q1 of this year. Our bookings were $27.4 million in Q2 up 6.2% compared to bookings of $25.8 million in Q2 last year. Excluding currency translation bookings growth was 3.5% compared to Q2 last year. Our order backlog at the end of Q2 was approximately $6 million, up 57.9% compared to backlog of $3.8 million in Q2 last year. Excluding currency translation, backlog growth was 54.3% compared to Q2 last year. As discussed previously, we include in bookings and backlog only those orders for which we have received a customer purchase order. Our bookings and backlog are good indicators of future revenues and business activity levels. Overall, we are very pleased with the top line performance of the business this quarter. Q2 marks the first quarter of revenue growth after seven consecutive quarterly declines. The key higher in commercial initiatives put into place late last year and early this year as highlighted by Jeff on our previous conference calls and beginning to take hold on business performance. I'll now turn the call to cost and expenses. Hospital revenues for Q2 were 14.6 million, compared 14 million in Q2 last year. Our gross profit for Q2 was 12.3 million compared with 12.1 million in Q2 last year and gross margin for Q2 was 45.7% compared with 46.5%. Operating expenses for Q2 were 9.4 million, an increase of 233,000 compared to Q2 last year. I would like to highlight two items that impacted our second quarter cost and expenses. First, we incurred approximately 0.25 million an unexpected consulting cost to resolve an operations issues that was first identified by the new VP of Global Operations and Quality this quarter. Second although we benefited from foreign currency translation on the top line, the same currency translation effect had a negative impact of approximately $600,000 on our cost and expenses when compared to exchange rate last year. This is due to the fact that we've manufactured product in the UK, Spain and Germany and as I mentioned earlier the U.S. dollar weakened against the British pound sterling and Euro on a year-over-year basis. The overall impact of currency translation on the bottom line was negligible because of this natural hedge in our income statement. Operating income was essentially flat, coming in at 2.9 million in Q2 with 3 million last year and operating margin was 11% unchanged year-over-year on a restated basis. Our tax rate was 26.5% in Q2 compared to 28.7% in Q2 last year. The improvement is due to lower tax rates in the UK as a favorable currency translation. Net income on a GAAP basis was 1 million compared with 186,000 net loss for Q2 last year. our GAAP income from continuing operation was also $1 million or $0.03 million per diluted share compared with 97,000 or zero cents per diluted share for Q2 last year on a restated basis. And non-GAAP income from continuing operation for Q2 was 1.9 million or $0.06 per diluted share, which was the same as Q2 last year. Our weighted average shares outstanding was 32.9 million in Q2 compared to 31.7 million in Q2 last year, a higher shares of the result of the additional equity awards issued at the time in the of the hard spin-off. I'll now turn to the balance sheet. We finished Q2 with 26.4 million of cash an increase of 600,000 compared to 25.8 million from Q4 last year. Accounts receivable as of Q2, 14.7 million compared to 14.3 million as of Q4 last year. DSO or days sales outstanding was 49 days at the end of Q2 compared to 48 days as of Q4 last year. And inventory as of Q2 was 17.2 million compared to 15.8 million as of Q4 last year. Inventory turns were 3.6 times compared to 3.7 times in Q4 last year. Our capital expenditures were $744,000 for the six months ended June 30, 2014 compared to $584,000 for the same period last year. The increase in capital expenditures this year compared to last year was due to the timing of normal spending on maintenance capital. Debt as of Q2 was 22.3 million compared to 24.8 million as of Q4 last year. The decrease was due to scheduled principal payments made during the year. I will now turn to annul guidance. Today we are reaffirming our 2014 guidance which is revenue of 105 million and approximately 20% bottom line growth for our non-GAAP EPS from continuing operations. Although we are very pleased with the performance in Q2 and encouraged by a number of factors including bookings and backlog levels. One quarter doesn’t make a trend, especially after seven consecutive quarterly declines and the significant impact of currency translation. And therefore at this point we are leaving our revenue guidance unchanged for 2014. Also I would like to remind everyone that there is some level of seasonality in the business, our revenues in the third quarter are usually down from the second quarter primarily because there are large number of holidays and vacations during the quarter. Our fourth quarter revenues and earnings are often the highest in any fiscal year compared to the other three quarters primarily because of the budget cycle. As mentioned, the differences between our GAAP and non-GAAP financial guidance including EPS and reconciliations are outlined in the earnings release we issued today, which can be found on our website under press releases. Consistent with our previous guidance, these figures exclude the impact of any potential future acquisitions. We will now open the call to questions from participants. Operator?
Operator: Thank you. (Operator Instructions). And the first question is from Paul Knight of Janney Capital. Your line is open.
Paul Knight - Janney Capital: Hi, Jeff, congratulations on the quarter.
Jeffrey Duchemin: Thanks Paul.
Paul Knight - Janney Capital: Can you talk to the initiatives that you have made since your not-very-long-ago arrival? You are head of -- you are change in sales, change in the modifications with distributors, all of those actions in sales, what do you believe your growth rate would be even if a market was not really growing? And also where are you and kind of where do you want to be in your sales reorg?
Jeffrey Duchemin: Yes. So, going back to last year when I join the company, last August. The first thing that we did was we took a look at the organization, the way it was structured and we knew that, we wanted to approach it from a more functional standpoint. So we created functional leadership roles. One of those was a Vice President of Global Sales, a position the company never had in the past. And we knew it really to strengthen the Harvard Bioscience name in the industry, the brands, the portfolio price we had, we had to align our sales teams on a global basis. We've done that. We're executing to the plan that we have in place for 2014 and we are starting to see the results of this functional alignment. In regards to sales growth, whether the market is flat, moving forward or not, just the initiatives that we have in place, the way we’re communicating the marketing plans that we’ve implemented, we believe that growth could be somewhere in the 4% that 5% range.
Paul Knight - Janney Capital: And where do you think market growth is going to end up normally for Harvard Bioscience?
Jeffrey Duchemin: It’s tough to really pinpoint that at this point in time. What we’re seeing and what we’ve read from some of the analysts’ reports that have come out; research, our products are highly academic. The good news is we’re starting to see an uptick in our performance in the U.S. and Europe. But on a global basis, what we’re seeing is, is 1% to 2% growth in the segment. We think we can outperform the segment growth and we’re very bullish on the remainder of the year.
Paul Knight - Janney Capital: Okay. And could you highlight any product line that you feel like is extremely well positioned, Jeff? I mean as you mentioned lab products but what has the most growth outlook in your view?
Jeffrey Duchemin: Yes. So, there is a couple of product categories that we’re seeing increased business orders, the backlog is increasing. Lab Products is one of those areas with our Denville Scientific business in the U.S., our distributor business. Our Molecular Analysis business is doing quite well right now. We launched the new product called [Oxalate Pro], measures the respiratory and metabolism, animal activities and food intake. And what we’re seeing is we’re seeing increased presence of that product, the remainder of the looks very strong for that. So, I would say our Lab Products and our Molecular Analysis products are two product categories are leading the way for us right now.
Paul Knight - Janney Capital: And then my last question is to Rob, and that is the [Sony] closure in the UK or in the combination, does that change your view on where operating margins should be, where do you want operating margins this year and then lap that $250,000 cost, does that call out of your non-GAAP number?
Robert Gagnon: Thanks Paul. Yes, let me start. The $250,000 cost did not come out of our non-GAAP number, so it's very much in those numbers. In terms of the facility consolidation that we completed in the UK this quarter, that was contemplated in the restructuring plan that we announced back in December and it's really sort of last step that we had to complete under that restructuring. Overall that component of it -- it has an annual savings in the range of about $300,000 to $400,000 for us. But again it was part of the component of that overall restructuring.
Paul Knight - Janney Capital: Okay, thank you very much.
Operator: Thank you. The next question is from Raymond Myers of Alere Financial Partners. Your line is open.
Raymond Myers - Alere Financial Partners: Great, thank you for taking the questions. I first wanted to add just pick up from where you just left off. The 250,000 of the consulting expense, what line item does that appear in the income statement?
Robert Gagnon: It mostly appears on the cost of sales line, but there are some components that show up in operating expenses.
Raymond Myers - Alere Financial Partners: Okay, sounds good. And then R&D was picked up a little bit in the quarter; are you looking at any projects, what's the reason for that?
Robert Gagnon: Yes, I would say it's really because of a couple of reasons. First off, as I mentioned in my prepared remarks, foreign currency would have a negative impact that would show an increasing trend there but also it's just the timing of personnel working on various projects. There is nothing unique going on there.
Raymond Myers - Alere Financial Partners: Okay, thanks. And back to the 250,000 cost, if that’s largely in gross margin, the margin actually increased just slightly sequentially, would have been a lot higher, if not for this expense. Do you expect this 250,000 to be recurring issue or is that it?
Robert Gagnon: Well, the issue that was discovered was discovered in the quarter by our new Head of Ops. He has been going around -- going out to all of our manufacturing sites, doing his due diligence. So as a relates to that particular site in this issue, it's resolved and it's behind us at this point. I don't foresee this coming up again, but of course the as he goes around and learns the business, there certainly could be things to come up from time-to-time. But certainly this is behind us and not expecting it to happen going forward.
Raymond Myers - Alere Financial Partners: Sounds good. Let me talk -- ask about your sales force realignment a little bit. Can you describe some of the specific actions you've taken and what opportunities you see to make the sales force more effective?
Jeffrey Duchemin: Yes. So the sales force realignment, the biggest thing is, we have multiple businesses that have made up Harvard Bioscience over the years that led to multiple sales organizations, customer service departments, tech support. What we've done is we’ve aligned all of these functional operations in to one organization. The line of communication is much better today than it was a year ago. The type of training we give our sales people is completely has been revamped from where we were a year ago. Our compensation plans, the way we compensate our sales people, the change in behavior, the types of products that they’re focused on, it's a complete restructure of our sales organization and sales process. The other impact to the business and where we think we will see growth coming forward is on a geographic basis, some of the things we're doing in emerging markets. Last year, we had one sales person in China, today we have a team of five. As we move forward, we hope to continue to create sales and marketing positions in Asia in 2015. So we are in the beginning stages of revamping our global commercial organization but that’s where we are today.
Raymond Myers - Alere Financial Partners: How soon do you think that increase in China sales force can start to have some positive contribution?
Jeffrey Duchemin: Well I think we are already seeing it as I stated in my write up Q1 and Q2 were a little bit sluggish in China I think everyone in the industry is seeing that right now but the way our channel managers are approaching new distribution partners our reach into Southeast Asia, Korea, Japan places like that we are already starting to see stronger relationships being built, our backlog is increasing and that’s we believe Q3 and Q4 will be stronger for us.
Raymond Myers - Alere Financial Partners: That sounds good. I want to ask you about bookings trend a little bit? Our bookings were up a little over 6% in the second quarter there seems to be nice trend revenue growth was 3% why wouldn’t we expect revenue growth to trend toward bookings growth?
Jeffrey Duchemin: I think it’s a great question bookings typically leads to revenue growth the one thing with bookings the backlog is a timing kind of a timing situation where some of the orders will come in Q3 some will come in Q4 or some could come into 2015 but what we believe is as the year progress our growth versus prior year will continue to increase the goal is that 4% to 5% that I had mentioned earlier in Paul’s question.
Raymond Myers - Alere Financial Partners: Nice okay, good. It’s a little early in the quarter to ask this but we are about a month end into the quarter so I will give it a shot what kind of look you have so far visibility to growth in the current quarter?
Jeffrey Duchemin: Yes it’s a tough question to answer as you know Ray, all I can say is we had a great Q2, the teams are in place, the teams are executing and we feel confident that Q3 and Q4 going to be strong for Harvard Bioscience.
Raymond Myers - Alere Financial Partners: Nice. And I have one housekeeping question. What was the total long and short-term debt at the end of the second quarter?
Robert Gagnon: Ray, the short-term debt is about $5 million. The total debt is $22 million. About $20 million the term loan two of its credit line.
Raymond Myers - Alere Financial Partners: It looks like then you have paid down the short-term debt a little bit since the first quarter?
Robert Gagnon: Yes, it's a five year term loan. So there is quarterly payment. There has been two payments made year-to-date.
Raymond Myers - Alere Financial Partners: Okay. Very good. Thank you for taking the questions.
Robert Gagnon: Thanks Ray.
Jeffrey Duchemin: Thanks Ray.
Operator: Thank you. (Operator Instructions). And the next question is from Bryan Kipp of Janney Capital. Your line is open.
Bryan Kipp - Janney Capital: Hey, guys, just had a couple of follow-ups. Thanks for taking the time.
Jeffrey Duchemin: Hey Brian.
Robert Gagnon: Hey Brian. How are you?
Bryan Kipp - Janney Capital: Good, and you guys? Congrats again. I am reiterating what everybody else has said. So I just had a couple of other ones. So top line, I mean how did it track through 2Q? Did you see some more support in the back half versus the front half of the quarter and just kind of get an understanding there.
Jeffrey Duchemin: No, it's been a steady increase, there has been no front end at the quarter, back end at the year. But as you can remember from our last earnings call, the backlog activity has been increasing and it's increased once again. And that's really translating into the improvement in our topline growth.
Bryan Kipp - Janney Capital: Okay. I just wanted to parlay into this too in light of, I mean, I think it was kind of alluded to previously, but you do see FX right now. There is some support there I think we have right now about 2.1% benefit in the quarter because the strong Pound again and Euro is moderating a little bit we still see support there. In light of that and the strong bookings, and the strong book-to-bill I understand organic growth if could be some volatility naturally in the business but in light of say 2% support we’re seeing so far, how can you have an adjusted or why did you decide not to adjust your top-line estimates for the full year?
Robert Gagnon: Hi Brian it’s Rob. I appreciate that. I think what we have is average -- an average rate for the Pound Sterling 154 last year it was 168 in the quarter in the second quarter and I think it may have gone up a bit more in the third quarter. But look still it only amounts about $600,000 to $700,000 it’s a fairly de minimus amount and overall we’re focused on organic growth in the business we’re now just focused on the FX trends from one quarter to the next but clearly 600,000 could reverse rather quickly in just a couple of days over a period of time. So, we just didn’t feel comfortable at this point, trying to predict where that would go in terms of FX.
Bryan Kipp - Janney Capital: Completely understand. Just kind of wanted to see how you guys looked at it. And I guess in addition, I think you guys alluded to additional global operations you announced 2 million in cost reductions in the past anything else anything incremental above that 2 million you think you can pull through?
Jeffrey Duchemin: One of the things we just announced today was the restructuring of a facility, two facilities that we have in the UK so we’ve been working on that. Our new Vice President of Global Ops was or has been looking at our manufacturing sites on a global basis. And then at this point in time nothing to announce.
Bryan Kipp - Janney Capital: Okay. But that those two facilities are consolidated that $2 million estimate you guys had previously or not?
Jeffrey Duchemin: Yes, yes Brian just to be clear that our UK facility consolidation that was the last remaining item as part of that restructuring that was announced in December.
Bryan Kipp - Janney Capital: Okay. And then the 1 million you guys had mentioned in the past about putting back into the business, have you allocated that yet?
Jeffrey Duchemin: Yes, we've -- that was part of the global commercial changes to the organization, sales and marketing position, the headcount in Asia and things like that.
Bryan Kipp - Janney Capital: All right and China similar mix product life, I know you guys have five people on the ground, just commentary around that if it's more focused in an area versus another on the product category?
Jeffrey Duchemin: Yes, all of the products except the laboratory products. The laboratory products are primarily the Denville Scientific plastic lines of products which are typically distributed in the U.S. So the majority of the products or the four of the product categories that we have, which is fluidics; molecular analysis; cell analysis; animal behavior products.
Bryan Kipp - Janney Capital: Okay. And I mean the last one you guys have talked about it, potential acquisition pipeline. How is that tracking right now; is there anything you guys are interested in, anything on the horizon or just thoughts around that would be great.
Jeffrey Duchemin: Yes, it's clearly an important part of our strategy. We've communicated that over and over again and we spent a lot of time looking and evaluating companies. There is nothing to announce today but it remains a very important part of our strategy moving forward.
Bryan Kipp - Janney Capital: That's it for me. Thank you.
Robert Gagnon: Thanks Brian.
Operator: Thank you. (Operator Instructions). The next question is from Paul Knight of Janney Capital. Your line is open.
Jeffrey Duchemin: Hi Paul.
Operator: Hi Paul, please check that if your line is on mute.
Paul Knight - Janney Capital: Sorry. The last question on Janney side is your 52% backlog increased, was -- I know that’s part of your sales work but what were the ordinary events behind that type of large year-over-year change?
Jeffrey Duchemin: I would just attribute to the sales and marketing activities in the organization, the realignment. There is nothing specific other than the fact that we've hired some very talented people, we have an aligned organization, I think we have a very good plan in place, we're executing to it.
Paul Knight - Janney Capital: Thank you very much, Jeff.
Jeffrey Duchemin: Thanks Paul.
Operator: Thank you. (Operator Instructions). And at this time, there are no further questions in the queue. I like to turn the call back over to Mr. Duchemin for closing remarks.
Jeffrey Duchemin: As I stated at the beginning of our call today, I'm very proud of our company's achievements. We have essentially rebuilt the Harvard Bioscience team in well under a year. Our team has made great progress and implanting our global growth strategy including creating commercial excellence and organic growth reinvigorating product development and seeking business development and acquisition opportunities. I am optimistic about our company's future outlook and I thank you our shareholders for your continued support and look forward to what we expect will be a fruitful year for all of us. Thank you for calling in. See you next quarter. Thank you.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. You may now disconnect.